Operator: Good day, ladies and gentlemen. Thank you for standing by and welcome to the Sientra Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please be advised today's conference may be recorded. [Operator Instructions] I would now like to hand the conference over to your speaker host, Oliver Bennet, General Counsel and Chief Compliance Officer. Please go ahead.
Oliver Bennett: Thanks, operator. Good afternoon and welcome to the Sientra third quarter 2021 earnings conference call. I would like to remind everyone that in our remarks today, we will include statements that are considered forward-looking statements within the meaning of United States securities laws. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current assumptions and expectations of future events and trends which may affect the Company's business, strategy, operations or financial performance. A detailed discussion of the risks and uncertainties that the company faces is contained in it's previously filed annual and quarterly reports on Form 10-K and 10-Q and in it's quarterly report on Form 10-Q that the company will file on Friday. Actual results may differ materially from those expressed in or implied by the forward-looking statements. The company undertakes no obligation to update or review any estimate, projection or forward-looking statement. I would also like to note that Sientra uses it's Investor Relations website to publish important information about the company, including information that may be deemed material to investors. Financial and other information about Sientra is routinely posted and is accessible on the company's Investor Relations website at www.sientra.com. Today on our call, we have Ron Menezes, Sientra's President and Chief Executive Officer; Andy Schmidt, our Chief Financial Officer; and Denise Dajles, Sientra's Vice President of Research and Development. I will now turn the call over to Ron. Ron?
Ron Menezes: Thanks, everyone and thanks for joining us today in our third quarter '21 earnings call. The coordination of Sientra is to enhance lives by advancing the auto plastic surgery. This mission is reflected on our focus on board-certified plastic surgeons and our goal to become a market leader in this category. You're going to hear today that we're making significant progress towards becoming the partner of choice to plastic surgeons by providing both reconstruction and augmentation products and services. This focus has enabled us to deliver over 20% plus growth for the past five quarters in a row, including this quarter which showed exceptional results at an all-time high for total accounts. Net sales grew 28% over the prior year. Importantly, this growth was primarily driven by a 33% increase in our reconstruction market, demonstrating the strength of our product portfolio. We saw excellent sales force execution in the third quarter, driven by dramatic growth in existing accounts for both the reconstruction and augmentation. As a matter of fact, the growth from existing accounts in the third quarter represented 75% of the overall growth. We also added more than 300 new accounts this quarter, bringing our total number of accounts to an all-time high of 2,700 accounts. We're seeing the benefit of a greater emphasis on creating patient demand for Sientra implants through unique marketing initiatives and partnering with plastic surgeons. Our patient acquisition efforts have been key to driving greater physician loyalty. Year-to-date, we have referred now almost 17,000 patients to our plastic surgeon customers. Our reconstruction strategy and execution is working as this quarter was the best quarter in Sientra's history. And based on the latest data obtained from IQVIA, Sientra's year-to-date share of hospital purchases has increased across both implants and expanders by three share points. And according to this data, Sientra is the only brand so far with sequential year-over-year market share gains for the past three years. We also reached all-time highs in revenue for both tissue expanders and implants used for reconstruction and 75% of recurrent revenue came from existing accounts. Our strategy to expand market share with existing accounts, while adding new accounts to drive future sales is working. We'll continue to accelerate our market share gain in a well-positioned to grow in this space to the demand created by the safety of our products and the strength of our GPO contracts. Our team is focused on the highest volume hospitals in the U.S. while leveraging the momentum of new account gains and increased product adoption. We're delighted to see the addition of 130 new hospitals this quarter which we expect to fuel future growth as it typically takes four to six months for new accounts to start generating revenue. The reconstruction business favors product safety to provide the best possible patient outcomes and to minimize complications which can reduce reoperations. We're very pleased to share that an independent study from Stanford University School of Medicine confirmed that Sientra's AlloX2 dual port tissue expander enables efficient management of seroma and early targeted intervention in the prepectorial breast reconstruction, confirming that we're leading the way with innovative technologies designed to improve patients' lives and procedural outcomes. We also saw outstanding commercial execution supporting our strategy to expand our market share in medical facilities performing reconstruction surgeries. We hosted several education events and with almost 90 hospitals and surgery centers represented at those events. We believe it's important that we do more than provide superior products and services but that also we give back to the community. We recently announced a partner with Mission Plastics, a nonprofit organization to provide access to breast reconstruction surgery for women in property across the U.S. We're excited to share that almost 100 surgeons already signed up to perform free surgery using our products. The contrary to expectations, the breast augmentation bit market continues to flourish. Market data shows that overall year-to-date breast augmentation is a four-year high. It's up 17% over 2020, 9% over 2019. In fact, it's the highest in history. The entrance market share continues to grow and now is estimated to be close to 11% in breast augmentation, while the comparable quarter in 2020 was estimated to be slightly over 6%. Our customers' loyalty and stickiness is the real difference here for us. When they come to us, they stay with us. And consumer enthusiasm towards breast augmentation remains very strong. According to recent market research, 74% of women considering implants indicated they are likely to give a breast augmentation within the next 12 months. Our brand growth is fueled by our efforts to consumerize the category. And when consumers ask for a brand, 71% of the surgeons will use that brand of implants. 34% of education content for those considering breast augmentation and guiding them to Sientra surgeon. Our online presence supports our message of safety and high patient satisfaction. That assurance in Pico mine is continuously opening doors for us. We started a new program called Sientra cater to drive pull-through at the account level. To date, we have experienced 2x revenue growth among surgeons that tended the program. And based on initial success, we'll be scaling up this program next year. Sientra is refocusing innovation to fuel our future growth and is backed by our commitment to best-in-class safety profile. We are on track for year-end 510(k) submission for a next-generation tissue expander AlloX2 Pro. As we move through the final quarter of the year, we'll continue to see strong momentum in both our augmentation and reconstruction markets, setting up for a strong finish to the year, importantly, a healthy start to 2022. Andy will now give more details on our financial performance.
Andrew Schmidt: Thanks, Ron. Our third quarter was a great quarter on many fronts. In terms of commercial performance and in terms of key business milestones that will set the stage for a strong 2022. Before I dive into the financial results, let me address a key structural accounting item that is represented in our current period financial statements. The company worked to modify our convertible loan agreement documents to allow us to employ equity accounting in terms of our $60 million convertible debt. In essence, we no longer are required to treat the loan as a derivative instrument. The key outcome is that in Q4 and going forward, there will no longer be any quarterly P&L or balance sheet fair value adjustments related to debt. The financial statements will reflect a loan exactly as it should be, a $60 million loan. Our current period results do show a much improved set of financial statements due to this loan modification. The final adjustment in third quarter was a reduction of liabilities, an increase in shareholders' equity and a big plus on the P&L statement, somewhat offsetting prior period noncash charges associated with the past derivative accounting. The second very positive finance-driven outcome this quarter was the forgiveness of our $6.7 million PPP loan. This also shows as income in the quarter, a reduction in liabilities and is a true cash positive event for the company. An operations-related big win for the period was the physical move of our distribution center from Santa Barbara, California to Franklin, Wisconsin, where we manufacture our implants. This move will create a positive efficiency opportunity for us in 2022 and going forward. However, it does carry with it transition costs incurred in the third quarter that I will discuss shortly. Finally, we continue our ERP system migration, August 1 to include our logistics and order to cash processes. This move will promote our ability to scale our future business processes to address the high demand we have for our products. Now shifting to our Q3 '21 financial results. We recorded record plastic surgery Q3 revenue results which brings a running total to five consecutive quarters of record revenue performance. Sientra posted revenues of $19.6 million as compared to $15.3 million in Q3 '20, an increase of 28%. While a period that is seasonally affected by surgeon vacations, we saw continued strong performance from our augmentation customers and a big performance from our reconstruction customers. Gross margins for Q3 '21 was 54% which is consistent with Q3 of '20. As a key driver to gross margins is product and channel mix, 54% may seem to be counterintuitive given our strong performance in the reconstruction space. We experienced consistent price stability across our entire product line and as expected, product cost performance. What is unique for this quarter is the distribution move I mentioned earlier, Sientra expenses distribution costs in the period incurred to cost of sales. A natural part of our distribution center move is the additional cost of shipping inventory from Santa Barbara, California to Franklin, Wisconsin. In addition, we did not shut down our product shipping for a single business day in the quarter, requiring us to essentially run two distribution centers at the same time during Q3. This ad cost reduced our gross margins by approximately 2 percentage points in Q3. In Q4, we will continue to see additional distribution costs as we expect to spend time in the quarter, continuing to organize our new Franklin distribution center while shipping to anticipated strong customer demand. All said, we are still confident that the changes we are making in '21 will help us achieve higher gross margins in 2022. Okay, switching to operating expense. Total operating expense for Q3 '21 was $22.3 million as compared to $17.8 million in Q3 of '20. The primary increase in expense was due to sales and marketing which represented $2 million of the $4.5 million increase. The increase is as expected, as the company has invested and will continue to invest in our go-to-market assets to capitalize on the future market opportunity that lie ahead. The current period operating expense is comparable with our Q1 of '21 and will vary period to period, primarily driven by sales and marketing activities which has a variable cost component. Total GAAP profit from continuing operations for the current period was $28.4 million. The profit includes other income of $42.2 million which reflects the final adjustment gain of $35.6 million related to the modification of our $60 million convertible debt agreement and the relief of our PPP loan of $6.7 million. Adjusted EBITDA for Q3 '21 was an $8.3 million loss as compared to a $7.2 million loss for Q3 of '20. Switching to key balance sheet items. We ended the September 30, 2021 period with a cash balance of $66 million. This compares to a balance of $55 million at December 31, 2020. The net increase in cash is due to our Q1 '21 capital raise and other financing activities that netted $34.3 million in cash this year. Year-to-date cash used in operations was $29.6 million. However, $7.6 million of that amount was attributed to an increase in accounts receivable due to increasing 2021 sales and our transition in ERP systems in our current quarter which caused the delay in delivery of customer statements. We expect to recapture much of that increase in accounts receivable over the next quarter to two quarters. We also increased inventories by approximately $12 million year-to-date to address increasing sales and robust product demand. Finally, the sale of miraDry resulted in an inflow of $11.3 million during the year which was slightly offset by forecast CapEx of $4.9 million year-to-date. Total debt of approximately $76 million at September 30, 2021, reflects the relief of the $6.7 million PPP loan previously discussed. Total outstanding shares at September 30, 2021, were $58 million. Now turning to guidance for 2021. We are raising the lower end of our revenue guidance and now expect plastic surgery revenue in the range of $76 million to $78 million. reflecting growth of up to 41% compared to sales of $55 million in 2020. We continue to expect 2021 annual operating expenses to be in the range of $85 million to $90 million. Finally, looking at our Investor Relations calendar, we have a busy Q4 and we'll be presenting at the Stifel Healthcare Conference next Monday, participating in the Craig-Hallum Alpha Select Conference next Tuesday and presenting at the Stephens Investment Conference in Nashville on December 3. At this point, I'll turn the call back to Ron.
Ron Menezes: Thanks, Andy. We are very optimistic as we head in 2022 and very confident that we can accelerate our market share growth by leveraging our unique strengths. It all starts with people. Our commercial team is focused on innovation, including patient acquisition, surgeon education and a partnership with Butterfly will add to additional recon hospitals added during the time when the market is bouncing back. We also have products that have an unmatched safety profile. We believe that will become the partner of choice for plastic surgeons as we focus on enhancing lives, advancing the auto plastic surgery. And now, I'd like to open the call up for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question coming from the line of Alex Nowak with Craig-Hallum. Your line is open.
Alex Nowak: Great. Good afternoon, everyone. I was hoping we could start out on the implied Q4 guide here. Just given the seasonally stronger Q4 versus Q3, can you just expand on next quarter why you think that next quarter will be down to flat sequentially? And then perhaps can you outline how you're thinking about growth going into 2022?
Andrew Schmidt: Thanks. This is Andy. Well, first of all, we don't think Q4 is a seasonally down quarter. Q3 was a seasonally down quarter which we thought performed quite well. We started Q4 with a lot of momentum, keeping us very busy. We're very optimistic about Q4. Hence, why we're bringing our guidance up, obviously, targeting the higher end of the guidance. We're off to a great start. We think we're going to finish the year very strong.
Alex Nowak: And then, just anything on the 2022 commentary?
Andrew Schmidt: We don't have guidance out at this point in 2022. As a matter of fact, we'll be working with our Board of Directors in Q4 in terms of our approval of 2022 and forward-looking plans and we'll look to the future to actually provide that guidance.
Alex Nowak: Okay. No, that makes sense. And then we obviously keep hearing about strong demand for implants in the market. So how do you think this demand plays out here over the next couple of years? Do you think the demand of entry rolls over? Or do you think there's some sort of renewed growth phase for breast implants that were in?
Andrew Schmidt: Alex, it is a new normal. Right now, year-to-date, it has been the highest ever number of augmentations in the U.S. and the new normal now is surpassed by 9% 2019 pre-COVID. The expectation that the market continues to grow in the next two years. We've now seen a slowdown this quarter. We have not seen a slowdown year-to-date. And what we've seen a lot in the last four, five months is revisions. If the women that come in when they have an implant for 10 to 12 years. They're coming in right now and getting new implants. So across both revisions and primary augmentation, the market is very, very robust. But the critical thing for us in this quarter was an all-time high for our reconstruction business. We saw all those strategic work that we did at the beginning of the year with results now for gaining market share across hospitals and really seen the revenue that all the work to as done four or five months ago.
Alex Nowak: That's great. I appreciate the update. Thank you.
Operator: And our next question coming from the line of Margaret Kaczor with William Blair. Your line is open.
Margaret Kaczor: Hey, good afternoon, guys. Thanks for taking my questions. So, I wanted to maybe start with the account base which maybe you can trim me up on the exact number but I think your account base is up 25% to 35% this year or so. So as those accounts come up to the company average in 2022, assuming they can do that, is that something that you guys would look for augmentation or breast product revenue growth? Or are there other factors that obviate those numbers so we shouldn't just draw a line up and to the right based on accounts?
Ron Menezes: Yes. Margaret, you're looking at a total of 3,500 reconstruction hospitals and roughly 6,000 to 7,000 plastic surgeons, not keep in mind, so those surgeons are -- some of them are in the same office. There's still a lot of growth. As I share, we have 11% share in augmentation and we have a 12% share in the hospital for breast implants and 15% for tissue expanders. There's a lot of growth still ahead of us. Part of it will be in existing accounts. As I stated, we have right now roughly 2,700 accounts. And those have a lot of possibility to continue to expand our market share. On the other hand, you have the ability to gain your accounts as we move forward in the next 12 months. And those are the things we'll be assessing from a deployment, make sure we have the right number of representatives in some areas and also assessing the right number of programs as well. But there's a long ways to go still to slow down our current share growth. We don't expect that. We expect to actually accelerate our share growth in 2022.
Margaret Kaczor: Okay, that's useful commentary. And then, one of the things that we're sort of curious about and this is the same thing as my colleague had asked before. But do you have any visibility around patient surgery today versus the last few quarters? Meaning our surgeons still three to four months booked up, for example, is that range changing? And is that something that you're watching or not really part of the business because you're seeing the underlying demand over time build?
Ron Menezes: I just returned from a Sientra Academy. It's a program that we did down in Austin, Texas. And there was a lot of buzz in that meeting because some of those surgeons will be January before you were able to go in for surgery. Some of them maybe a sneak you right before the holidays. They're very, very busy. They're adding more surgeons. They're adding more staff. And I don't see that slowing down at all. And again, from a reconstruction, we're seeing a lot of demand from the hospitals that we have contracts now. And the same thing, I don't see that slowing down in the next six months.
Margaret Kaczor: Okay. And if I could squeeze one more in on that hospital side. So you guys -- I think a year ago, we talked about getting into the contract with HealthTrust Purchasing Group. You're obviously able to add share but still 75% of growth is being driven by your existing accounts. So all of that seems pretty favorable. And the question ultimately becomes, have you really seen enough out of that partnership or frankly, can that be a catalyst to ramp as we go out over the next four to six quarters in reconcer [ph] to come back full force into the market?
Ron Menezes: I missed the beginning of your question. Are you referring to Butterfly partnership?
Margaret Kaczor: The HealthTrust purchasing group.
Ron Menezes: Yes. Yes. We -- yes, all the GPOs that we have contract right now, we're seeing the results. That was part of our strategic investment that we did at the beginning of the year to really focus on reconstruction. That includes all the GPOs, that's one of them and we're seeing the results in this third quarter. We had 74% of our sales for reconstruction coming from existing accounts, about 17% from new accounts. You see that happening in the third quarter. We continue to see the acceleration in the fourth quarter. All that is the work that was done in the first six months and supports and sustains our strategy to focus on reconstruction. And one of the critical things is in the past two quarters, we saw about 38% of total sales coming from Recon. And actually this quarter it was 46% came from reconstruction.
Margaret Kaczor: Okay. Thanks, guys.
Operator: And our next question coming from the line of Jon Block with Stifel. Your line is open.
Jon Block: Great. Thanks, guys. Good afternoon. Andy, maybe I'll just start with you on the gross margins. And I think I get the moving parts for the third quarter of 2021 and having the duplication this quarter, are these headwinds fully resolved in the first quarter of 2022. I think you said there'd still be a stub in the fourth quarter. And if so, does that mean that we can still start next year in and around the high 50% range. Essentially, I'm sort of up 200 to 300 bps from the 2Q. I'm just curious if that's a good starting point? Or are there other moving parts we hear from a lot of our companies, supply chain issues, et cetera, that have crept into the equation over the past couple of months?
Andrew Schmidt: Jon, when we look forward, we still see again that line of sight to get into high 50s plus. As you commented, Q4 will have a stub of our DC, maybe part of Q1. And then we're past that. And also we expect 2022 to be a growth year. We don't have guidance out yet but we expect to be another strong growth year for us. And we're going to grow into that distribution center cost, the size of it based on volume, based on again the efficiencies that we see ahead. So again, we don't necessarily see headwinds that way but I think you put it the right way. Each quarter is going to build each quarter as we go into 2022 as we're going to keep building this company very consistently. We see the demand and we now have the right facilities, the right people in place. We did see, like everyone else in the COVID environment, slightly increasing labor rates. But for us, in terms of our high-margin product and type of business that we're in, it really doesn't affect us as it would in fact a 15% to 20% gross margin type business. So we see it somewhat on the labor side but not significantly in terms of the overall equation. We do not yet see any issues with materials in terms of supply chain. From that perspective, we've been consistent and in very good shape.
Jon Block: Great, that's very helpful. That's a lot of color. And then just to pivot, Ron, I know you're not going to give 2022 guidance right now but can you just, at a high level, talk to some of the new opportunities next year? They appear pretty fulsome Canada, Allox2 Pro. Are there any other international opportunities that we should be thinking about? Despite the 3-player structure in the market, typically, I don't think there's really been much of any price realization, maybe more headwinds in this inflationary environment. Can that prove to be more of a tailwind in '22. We just love your high-level thoughts on some of the incrementals next year?
Ron Menezes: Jon, I think the opportunities are still in U.S. When we are still the number three player for augmentation of 11% and accelerating the market share increase and we saw that as well in the hospital environment where we'll quickly win the beginning of 2020 of a 12% share for tissue expander, we're 15% share now. That's the '22 opportunity is the continued acceleration share growth. In Canada, yes, we are expecting to hear from Health Canada this quarter. And in regards to Allox2 Pro, I do have our Vice President of R&D with us and the Head of Regulatory, Denise Dajles, as you know, to join Sientra back in June and from established labs. So Denise, any comments about Allox2 Pro.
Denise Dajles: Yes, sure. Thank you, Ron. Well, we're very excited about this upcoming submission with Allox2 Pro, not only because of the innovation and all the features that are really designed for patient benefit and patient safety but also because it's a buildup up on our platform of Allox2 that we know has a lot of benefits and resonate with the plastic surgeons. So we're building up on this platform and this will be a continuous rollout of innovation in our pipeline. Allox2 Pro brings benefits such as MRI compatibility, less interference with imaging, less interference with radiotherapy treatment but also enhance patient comfort and state-of-the-art location technology. So we're very excited about this new product because, again, it's a refocus on innovation and you will see a constant rollout in the coming months.
Jon Block: That's great. Thanks, Denise. Thanks, Ron.
Operator: [Operator Instructions] And our next question is coming from the line of Anthony Vendetti with Maxim Group. Your line is open.
Anthony Vendetti: Thanks. Yes, just talk a little bit about the market share gains. I think you said you're at around 11%, Ron, up 3 percentage points. Do you see -- as you move forward here, what do you think the opportunity is by the end of '22 in terms of the ability to continue taking market share? I know it's not just taking market share from others but just growing the business, it's a two-pronged approach. But do you see that trend continuing at the current pace increasing, staying about the same?
Ron Menezes: Yes, Anthony, it was slightly over 6% annualized last year. We're slightly -- now we're about close to 11%. I see us expanding the market. The market is robust right now versus what it was back in '20, obviously. It's the market is growing. So you have the opportunity to continue to accelerate share growth with all the programs that we do in regards to patient physician loyalty and ensuring the physicians stay with us when they come on board, when they flip to Sientra, they stay with us. So we have the opportunity to continue to accelerate that in the next year. We see an acceleration. Are we going to double from '11 to '22. I don't know. But we have very, very aggressive goals for next year because we are confident that our products and our 10-year safety that we have for our products, set ourselves apart. And you also have our 20-year platinum warranty that our competitors do not have. Once those physicians have tender programs, we have had over 45 surgeons attend our Sientra category. They come out making same things like this is the best program they've ever been to. And this program, I just came back from last weekend, had surgeons tell me over lunch she said, "I've never had a company help me, help my business and do the things you guys are doing to help bring the patients." We have referred 17,000 patients to different surgeons. They are on the Sientra network. But some of those patients have lost because by the time they go to the website, the understand the website. So we're teaching them out to redo their website. We teach them how to retain those referrals, so they do not lost in space. We're very excited about next year and we see acceleration of share growth next year.
Anthony Vendetti: Great, that's very helpful. And then, just -- I know you touched on the supply chain issue a little bit. It sounds like you're well prepared for that. But are you seeing any cost increases in any of your products on the manufacturing side?
Ron Menezes: No. Actually, we're seeing at the opposite. We keep finding new efficiencies. We've made tremendous gains over the last 1.5 years and continue to make those gains. And again, Denise is with us here. She is a key hire in terms as well in terms of new product but also innovations in terms of product productization and also in terms of what we're doing in manufacturing. So I'm seeing actually a lot of stability in the model to where as we grow, we're seeing great price stability, not discounting, just real strong price stability again and we're seeing dropping costs. Even though, again, labor rates might be up. We have volume buying opportunities on materials which actually is the opposite of what perhaps other people are seeing with supply chain. We see opportunities to reduce those costs as well as, again reduce costs from an efficiency perspective. So when we go into 2022, we're going to see market expansion but we will see again the ability to take advantage of the efficiencies based on the infrastructure we have invested in to date. We're going to pay off years are going to be 2022, 2023 and on.
Anthony Vendetti: Well, it's great to hear. That's definitely refreshing from what we've been hearing from other companies as they report their third quarter earnings. Andy, maybe just obviously, the move from Santa Barbara to Wisconsin can save costs. What are the expected savings on an annual basis just from an SG&A perspective or a real estate perspective in 2022? I know there's some -- like you said, there's some charges associated with that. But what would be the ongoing annual savings after you eliminate the onetime costs with the move?
Andrew Schmidt: I'll start with the easy one to quantify. Moving from Santa Barbara, California, the Franklin, our distribution center, takes roughly $1 million of non-value added shipping fees from taking finished product that's produced in Franklin, put it on a truck and sending it to Santa Barbara then to be distributed. So that $1 million comes into play next year on an annualized basis. The other part that comes into play is we now have a facility in an organization that can scale with the business. Obviously, a big growth year for us this year. Again, we do not see or have any plans to slow this growth. So we're going to be able to grow in to basically that facility which will then, as a percentage of sales, bring the cost of distribution down. So we'll be looking at that. Again, I don't have a specific number for you but we do have eyesight in terms of how we actually take advantage of scale. So that will be in front of us in '22 and especially '23 and onward. And otherwise, in terms of SG&A, so I was talking more of COGS, we were in a total of four facilities here in Santa Barbara and we're bringing that down to where we'll have one lease in Santa Barbara in 2022, be doing a lot of consolidation out of our Franklin, Wisconsin site and be minimizing our presence here in Southern California but we'll still have a presence. But that alone as well will produce some significant savings in 2022 and 2023.
Anthony Vendetti: Okay, great. Thank you very much. I appreciate it.
Operator: And we have a follow-up question from Jon Block with Stifel. Your line is open.
Jon Block: Yes, guys. Sorry for the follow-up, I really usually don't do this but I'm getting a lot of emails, I'm sure my colleagues are as well. Can we just go back to the way we let off the Q&A? I mean it's another strong quarter. There's market share gains that are very apparent. You think the market is in a really good shape and you have a seasonal tailwind sequentially and you have more accounts in 4Q going into 4Q, then you had going into 3Q. And I think what we're all just sort of scratching our head a little bit trying to reconcile is, why would the midpoint of the range imply flat sequential revenues? And if the answer is just it's still a COVID environment. We want to leave some room for error, a sense of conservatism, that's certainly more than fine by me. I just want to make sure we're not missing anything or there's not a message being conveyed that it shouldn't be. So can we just sort of go back to that starting point and try to address that?
Ron Menezes: Yes, Jon, yes, we are not seeing and even now come into November a slowdown. What we're seeing exactly what we saw in the third quarter and the normal patterns for Q4. And that's why I'm very comfortable with somebody asked me in the upper end of our guidance, I'm very, very comfortable with that. But in two, you actually ended in and finished the year you don't know but we are very confident this is going to be by far the best year ever for the company. And we're very confident being the upper end of our guidance based on what we expect for Q4.
Jon Block: Fair enough. Thanks, guys.
Operator: And I'm showing no further questions at this time. I would now like to turn the call back over to Mr. Ron Menezes for any closing remarks.
Ron Menezes: Well, thank you, everyone and we look forward to seeing some of you in the next two weeks at the different investors conference. Appreciate your time. All of you have a great afternoon.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.